Dave Huizing: Good afternoon, and thank you for joining today's call. I hope by now, you will have had time to look through our half year press release and that you have been able to locate our presentation to investor slides on the website. You will also find here our disclaimers about forward-looking statements, which I encourage you to familiarize yourself with. Now let me hand you over to Dimitri to start with some introductory comments. We will try to limit today's call to about 45 minutes considering that this is a very busy day for you. Dimitri?
Dimitri de Vreeze: Yes. Thank you, Dave, and let me add our thanks to all of you for joining us today for the first ever interim results conference call for DSM-Firmenich. Following the completion of the merger in May, we are in our 80th day. We thank you for your interest in our company. And as you can imagine, given that we spoke with you just over a month ago at the release of our preliminary trading update, there is no big news today. What you will see is confirmation that performance -- Perfumery & Beauty and Taste, Texture & Health have both performed well in a volatile macroeconomic environment and that we are accelerating our vitamin transformation plans to address challenges in Animal Nutrition & Health and, to a lesser extent, Health Nutrition & Care. Therefore, rather than our usual rhythm of taking you through some slides in our investor deck, we believe time is probably best spend for you today to moving straight to our Q&A. But just before we do that, we thought it might be useful if Geraldine says a few words about the presentation of our financial statements today. But as you could see, there is a lot to take in. And given that it's the first time we are presenting as DSM-Firmenich and also our financial results, Geraldine, over to you.
Geraldine Matchett: Thank you, Dimitri, and hello, everyone. Indeed, we know it's a busy day for you, so we are trying to be super efficient here. Now unfortunately, we're not making your life easy because this press release is a rather complicated one. In fact, we found it also at times a little bit tricky to follow all of the different numbers. So let me first say that the IR team is there to help you, and please don't hesitate to reach out if you're trying to navigate your way through the presentation. Now I just want to give a couple of comments to give you the frame within which we prepare these numbers because it is indeed the first set of reported numbers for DSM-Firmenich. Now the first thing is that here, we're bringing together two companies. And of course, in order to have something which you can actually analyze in terms of performance, it's easier if you have 6 months of DSM and 6 months of Firmenich together. Now that's what we have called pro forma. You will see that on the first page, for example, of the press release, that's the top table. And most of our comments are actually referencing the pro forma performance. So like-for-like comparison versus prior year, et cetera. Now in fact, from an IFRS point of view, given the merger was effective May 8, the true accounts are actually combining 6 months of DSM and 2 months of Firmenich and that is what is the IFRS basis. Now that becomes particularly relevant when you look at, for instance, cash generation, et cetera. So that's the difference between IFRS and pro forma. Now there's one extra twist in all of this, and that is the introduction of some new matrices called core. And what we mean by that is that, in fact, the combination is treated from an IFRS point of view as an acquisition, although it is a merger of equals, but that does mean that we have had to do a purchase price allocation accounting treatment with a step up of assets and liabilities coming from Firmenich into the combined balance sheet, for instance. So it does inflate the capital employed. It also, for instance, impacts quite a lot the net profit because of the amortization of the stepped up intangibles. So in order to give you something which is understandable, we've introduced core, which, by the way, was a feedback that we got from you that this was appreciated in the Linde-Praxair deal, for instance, and we tried to use a similar approach to provide as much transparency as possible. So just wanted to make that as clear as possible. And with that, I think we are actually going to go straight to Q&A. So, operator, the floor is back to you.
Dave Huizing: Yes, remember that because as we always do, that the sell-side analysts can ask questions through a separate line for which they have registered already through the link, which you can find on the website. And all the other participants are always in the listen-only mode. So we do it as we usually do. And I already get a signal from the operator that we are ready to start. So operator, I give you the floor to basically start the Q&A session.
Operator: Thank you, Mr. Huizing. [Operator Instructions] And the first question comes from Charles Eden with UBS. Please go ahead.
Charles Eden: Hi. Good afternoon. Thanks for taking my questions. Two from me, please. First, in the presentation, you hopefully had the net debt of €1.8 billion. If I adjust for the hybrid and then the dividend that you've announced at the end of June, that gets me to a round number of about €3 billion of debt at the half year sort of adjusted for those factors. Is that right? And is that the way that you'll think about the net debt-to-EBITDA target of 1.5 to 2.5x when you're thinking about shareholder returns, et cetera? And then the second question is just on the core adjusted net profit, and thanks for the explanation, Gerald. But if I look at the difference between adjusted EBITDA pro forma of €929 million. And then the core adjusted net profit of €236 million is quite a big [indiscernible] we haven't really got all the meeting parts between that. But I guess to what you're saying by core is that it is recurring. So is that the magnitude of tax, depreciation, amortization, except that we would expect for the second half that numbers and into '24, given that core definition? Thank you.
Geraldine Matchett: Okay. Thank you, Charles. I think this one, I will take both, Dimitri. So net debt, let me start there. Indeed, we are closing at the half year with €1.8 billion in net debt, excluding the hybrid of €750 million. Now you have to be a bit careful because the hybrid, of course, is treated differently than a straight debt when it comes to the rating agencies, sometimes half is taken in, et cetera. So what we are looking at in terms of the net debt reference is actually excluding the hybrid. Now I do want to point out here that we will have in the second half, actually, a few outflows, in particular, the outflow of the buyout of the minority interest, the shares that weren't tendered. You remember we had a minority percentage that needs to be bought out. So that will come in the second half. The timing of the dividend of €430 million is also in the second half, et cetera. So here, I think it's probably good that we provide a bit of guidance for once, and we probably will guide here to our year-end net debt of €3.4 billion, €3.5 billion, maybe something like that, which is kind of around 2x pro forma EBITDA. And I'm saying pro forma because, of course, you need to take an annualized 12 months of EBITDA to have something comparable. So that is the number against which we will be applying the policy of 1.5x to 2.5x. So hopefully, that provides you a bit of clarity there. Now when it comes to the core EBIT versus the core net profit, maybe core, to be clear, is that we are backing out the amortization of the intangible assets that are carved out from the purchase price allocation on Firmenich. So to give you a little bit of a number, the step up because of fair valuing the assets and liabilities is actually €10 billion, of which about €8 billion goodwill, €2 billion intangible assets. Now that needs to be amortized. So you are looking at about €250 million of amortization coming from the PPA accounting. So that's the definition of core. Now to give you for the modeling a bit of input, what you should assume from a financial income expense is, on an annual basis, probably about €170 million, €180 million per year. So on H1, if you normalize our pro forma, you're at about €90 million. And then the delta is actually tax. Now it does lead to a particularly high rate just now, but that has to do with mix. So for instance, the vitamin effect that we've been referencing since June 28, et cetera, falls very much in Switzerland, and that does impact quite a lot the tax calculations. But let me give you as an indication for modeling, again, probably on a pro forma basis, you should think at about 23% as being a reasonable tax rate to put into your models for the foreseeable future. Hopefully that answered your question.
Charles Eden: Thank you. Yes, it does. Thanks, Geraldine.
Geraldine Matchett: Right. Thanks.
Operator: We will take our next question from Matthew Yates with Bank of America. Please go ahead.
Matthew Yates: Hi, [indiscernible]. A couple of questions, please, just on operations. The Perfume and Taste divisions, respectively had sort of a minus 2% organic sales growth in the quarter. And you do say that you had mid-single-digit pricing. So I guess that implies volumes were down about 7% across those two businesses. If that’s right, I does feel worse than we've seen from peers. And I appreciate it's been a challenging consumer environment. But is there any insight into that as the Firmenich business has been somewhat disruptive by deal closure, and that's impacted execution? Or is that just quarterly randomness? The second question is just picking up on something that was in the press release this morning, you had "even greater confidence in the delivery of our synergy targets." Can you just expand a little bit what you mean by that? Are you saying that you are more confident in delivering the existing synergies? Or are we talking about delivering them faster? Or are we talking about even potentially upsizing in due course, the potential synergy price? Thank you.
Dimitri de Vreeze: Okay. Yes. Matthew, thanks for that question. Let me take these two. Let me paint a bit of color around the Perfumery & Beauty business and Taste, Texture & Health and give you a bit more color around it. Because at the end of the day, these businesses, not only on the organic growth in the first half, but also, I think, on the EBITDA step up has been very positive and showed the strength of these businesses. However, you need to sub segment a little bit these business. Let me start with the Perfumery & Beauty. So there, we have seen a positive momentum on the pricing with a positive effect of around mid-single digit with volumes impacted by lower ingredients sales. Remember that we have announced that we will not reopen Pinova and that obviously had an impact on the ingredient part. It would then give you some color on the sub segment, so Perfumery, Fine Fragrance had a very good growth in the first half, whereby Consumer Fragrance had solid growth. So we're very happy with that growth going forward, where Personal Care also showed very good growth this time. The element which worked negatively for the volume as the ingredients part because of the destocking, but also because of the Pinova effect. So if you take that into account, you can basically say that fragrances, Perfumery, Fine Fragrance, Consumer Fragrance, and Personal Care will do very well. We then take Taste, Texture & Health. Here we have two sub segments. We have the Taste part and we have the Ingredient Solutions. It's clear that on the Taste part, we've seen a positive momentum on pricing, but also on the volumes. I think good volumes in beverages, soft drinks, juices, fresh bakery as well as confectionery. And I think that is possible and we expect to continue. On the Ingredient Solutions, we've seen good business in enzymes, cultures and textures, but a bit weak on yeast, colorants and nutrition. And I think pricing were okay, it was only volumes, which were a bit covered by -- partly by destocking, but certainly in the area of yeast, colorants and nutrition. So overall, I think also with the improvement, obviously, on Taste, Texture & Health, where we also deliberately walked away from some of these lower margin businesses, and you've seen them reflected in EBITDA. I think you could basically say that Perfumery & Beauty as well as Taste, Texture & Health had a very strong first half. Then, the second one on the press release, you picked up greater confidence that -- before going into faster and more, be aware that we did our synergy work in the clean teams. Remember, we were -- before 8th of May were not allowed to share commercial, sensible and sensitive information. And we were doing our pre-work based on the clean room investigation. Now within our 80 days, obviously, you build far more evidence because now all the books are open. And I'm very happy to say that what we've seen so far is building that greater confidence. We've also had our key supplier meeting in Barcelona in the second week of June, where we also could add flesh on the bone in terms of where the savings were coming from. And that has predominantly to do with the cost savings. Remember that we -- on our €350 million EBITDA, we said half is about cost synergies and the other half is revenue synergies. The cost synergies, obviously, will come earlier, while the revenue synergies take some time to work through the brief system. It will take a year, 1.5 year time for those revenues to come. So also there, we are more confident. But obviously, on the cost synergies, we also see some signs that we could bring in cost savings in line with our expectations, but with more confidence because it's more backed up by us. So that, to your question. I hope that gives a bit of color.
Matthew Yates: Thank you, Dimitri.
Operator: We will take our next question from Chetan Udeshi with JP Morgan. Please go ahead.
Chetan Udeshi: Yes. Hi, Thanks. The first question, I just wanted to follow-up on Geraldine's net debt sort of indication of €3.4 billion to € 3.5 billion. Can I confirm that includes the hybrid?
Geraldine Matchett: Is that the only question or you have others?
Chetan Udeshi: No, that's it. The other question, the second question was just looking at the phasing of your second half guidance, you guys stated about €408 million of pro forma EBITDA. I think the guidance implies, if I take the midpoint, a run rate of €460 million per quarter in Q2 -- sorry, Q3 and Q4. I'm just curious how do you think about the step up from €408 million to that quarterly run rate. Do we see that in Q3? Or is Q3 more like similar to Q2 and we see much of the step up in Q4? And the last question I had was actually just thinking about the restructuring costs, how should we think about the cash restructuring cost this year and how much actually flows into next year? Thank you.
Geraldine Matchett: Okay. Yes. Thanks. So let me give you the first and the third, and then I'll hand over to Dimitri for this middle question. So net debt, here the indication is actually excluding the hybrid, but realize that there are a lot of one-timers related to the deal going on here. So there is an element, of course, of phasing. So what we're seeing here is taking the current outlook from an operational point of view and then factoring in things like the buyout of minorities. We also have, by the way, that's not a net debt, it's more of a cash movement, a bond maturing in December. And that will be paid out of the balance sheet. So that's to clarify the net debt. And then from the restructuring costs, Here, what you will see is that this is a year where the -- what is called under IFRS APMs, so alternative performance measure items kind of come together. So we have different categories that we've been talking about along the way. We have the integration costs. You remember €250 million that we've indicated. We have all the transaction costs and deal-related items. Here, you're about in the €270 million, €280 million. Then there's these accelerated programs that we've put in place on June 28 in order to recover a strong performance. There, we indicated €200 million. And then you have sort of Pinova and others about €80 million to €100 million. So when you add up all of that, you're probably in the €750 million to €800 million. But and the question is very good, and that is the phasing over 2 to 3 years. So what we will do is period-by-period, we will provide you with the cash out versus expense. The timing is not the same, whether it's P&L or its cash, and it's also not the same whether it's pro forma or IFRS. So those are the moving parts. And in here, we are probably looking at a guidance for this year of about €350 million, I think, would be the number. But I have to say, I have a slight doubt if it's P&L or cash. So hold that thought. We will provide the insights a bit later.
Dimitri de Vreeze: Yes, indeed. And then to your question on Q3 and Q4. What we see -- So there are three elements we come into play. One is the destocking to fade away; two is the input costs, which we see with stabilizing inflation going down; and three is the cost measures, which we have initiated. So for Q3, we see that some of the cost measures which we've initiated will help Q3. The other two measures will help only in Q4. So the destocking to fade away. We are not very optimistic. It's also what we said earlier end of June. But there will be some normalization toward the end of the year, so that will help Q4. The input cost, we do see going down. But because of our stocks of 5-plus months, it takes time to run through the stocks before it impacts positively our EBITDA. And we'll see -- towards the end of the year, we will see that positive effect. And then obviously, also in Q4, we will see the cost measures in effect. So Q3 will be still relatively weak. Q4, because of the three elements coming together, will be better. So that's how it's been built up throughout the year towards our outlook of €1,800 million to €1,900 million.
Chetan Udeshi: Thank you.
Operator: And we will take our next question from Fernand de Boer with Degroof Petercam. Please go ahead.
Fernand de Boer: Yes. Good afternoon. Thanks for taking my question. One question on this purchase allocation. Why don't you also correct the goodwill of the intangible assets from the past, which were on the old DSM and make the adjustment like you do for revenues? That's the first question. And the line was a little bit bad. So maybe to come back on this, your organic volume growth in the second quarter and then going into Q3, when would you see some improvement over there?
Geraldine Matchett: Okay. So let me take the PPA question. It's a subject that we actually discussed at length, and there was no unanimous preference whether we should correct for all of goodwill and actually make it before any kind of amortization of acquisition related intangibles or just the merger. And we decided to remain very transparent and to provide some consistency across the accounting to only do it for the merger related big number, which, of course, comes from the step up on the Firmenich accounts. So it was a choice, and it seemed to be the most transparent one to provide consistency. So that was from the PPA. And then Dimitri?
Dimitri de Vreeze: Yes, let me be close to the mic. I hope you hear me well now. Yes, just to repeat. So what we expect is that the volumes towards the end of the year will pick up a bit because then the destocking would be fading away a bit more toward the end of the year than earlier. So that is something for Q4. The other two elements I mentioned were the input costs, which were going down, but it needs to run through our stocks and therefore, will help in Q4 toward the end of the year. And obviously, the cost elements on -- the initiation of the cost elements will already help us a little bit in Q3 and obviously, also in Q4. So we still expect a relatively weak Q3 and these three elements coming together will help Q4 a bit going forward, nicely in line with our outlook, which we've given between €1,800 million and €1,900 million.
Fernand de Boer: One follow-up. The core adjusted profit, that is the base for the dividend payment.
Geraldine Matchett: Yes. Thank you for that question. I was expecting it. Yes. In fact, maybe let me take the opportunity of this question on dividends. So the dividend policy, as stated in the offering circular as well, is a policy of distributing 40% to 60% as a payout ratio. Now it's a ratio of the core. So backing out this amortization, otherwise, that would be a significant drop. Also, I think it's fair to say that in the period of both transition and integration, we are, as a company, investing a lot into setting up DSM-Firmenich for a prosperous future. But in a transition time, it is actually costing us these one-time costs. Now bearing that in mind, it is very likely the payout ratio will be quite a bit higher at first and then will normalize toward the 60%. So in that spirit, the payout ratio is the policy, but we may depart from it with a view, most probably to be confirmed by the Board, of course, at some stage, of ensuring a stable dividend at first.
Fernand de Boer: Thank you very much.
Operator: We will take our next question from Isha Sharma with Stifel. Please go ahead.
Isha Sharma: Good afternoon. I just had two, please. Since you announced the €400 million vitamin impact, we have seen further declines in vitamin E prices. Does that mean that impact could be a little bit bigger? Or did you already assume that it would get worse from where we were at the time? And the second question is on Perfumery & Beauty. You had guided for around €40 million of seasonal impact on EBITDA. We didn't see that materialize. There was only around €20 million decline in EBITDA from the last quarter, despite the volume decline at the Firmenich underlying business. Does that mean that, that €40 million was not the usual seasonal effect? Or could you give us a bit more color on that, please?
Geraldine Matchett: Dimitri?
Dimitri de Vreeze: Yes. Let me respond on vitamin E. It's good to know that all our analysts are following our vitamin prices, be aware this is most probably feed in for with our contract prices, but it gives an indication. In our trading update last month in June, we did say that the total exposure to vitamin was about 15%, which is around €2.2 billion, of which vitamin E was one of the few vitamins where we are still making a little bit of money. I think the overall performance of vitamins, not only from DSM-Firmenich but around the globe in the value chain, it's relatively low. But vitamin E was one that was still a little bit of profit. We also included in our outlook that part of that decline was included in the €1,800 million to €1,900 million. So part is included. We need to see how vitamin E is evolving throughout the year, but we assumed part of the decline being part of our outlook. That's also why we gave a range between €1,800 million and €1,900 million. And then on Perfumery & Beauty, I don't have the numbers here, but I do saw a sequential quarter, I saw a decline. And I think that is what we mentioned in terms of seasonality. So I don't know what the numbers you are looking at. But if you look at Q1 to Q2, you saw a lower Q2, although compared to prior year, it was a step up in EBITDA. So it is in line with what we said at that time. But if you want to have more clarification, then I think we can take it offline. But it's in line with what we initially said.
Isha Sharma: Thank you.
Operator: Thank you. We will take our next question from Artem Chubarov with Redburn. Please go ahead. Artem, your line is open. Please check your mute function on your phone. We will take our next question from Nicola Tang with BNP Paribas. Please go ahead.
Nicola Tang: Hi, everyone. Thanks for taking the questions. Firstly, just a few more moving parts on the cash flow side. Geraldine, thanks for the help there. I think working capital trended up a bit in H1 year-on-year. And I know you're saying it's not necessarily reflective of pro forma, but maybe you could give us a bit of a steer of, I guess, your ambitions around working capital sales on a kind of midterm view for the combined business and also clarify in terms of pro forma sort of CapEx details as well? And then the second question, with Pinova. I'm sorry if I missed it earlier because the line was a bit unclear from Dimitri. But I think in the June call, you mentioned that Pinova will be a headline -- a headwind on top line, but less so on the bottom line. So wondering if you could help us quantify the top line impact in Q2 and what it might be in H2 for Perfumery & Beauty. [Indiscernible]. Thank you.
Geraldine Matchett: Yes, hi, Nicola. Happy to do all three, actually. So from a working capital point of view, I'm afraid, indeed, the performance is not great and is reflected in the cash generation so far. So you probably saw in the report, on a pro forma basis, we closed at about 33% as a working cap -- operating working capital to sales ratio versus 29% in prior year. Now this is really driven by inventory. I have to say a lot to do with legacy DSM and the fact that the volumes were soft. So when you look at that, I mean, to give you a bit of an idea, the DDI, so days of inventory are up at 162 versus 149 in prior year. So that's one of the main drivers, which really matches the situation that we are seeing on vitamins. Now another maybe number that is very useful and that is the cash conversion. So on a pro forma basis, we closed for the 6 months at a 31% cash conversion which, as you can see, is really on the low side. And here, the target will be to move that up into the 40% to 50% as a first stage. So it's a combination of the cash conversion and probably, from working capital reverting to as a first step back to where we were a year ago, which is 29% of sales as OWC to sales ratio. So a big effort. Now we've talked about shutdowns. We've talked about a number of steps commercially to make that happen, and that will continue to be a great area of focus going forward. Now from a cash -- from a CapEx point of view. And here, again, let me give you a couple of numbers. For H1, we were at €348 million of CapEx. Now pro forma. Now you can probably assume a max of €850 million for this year, including Bovaer. So as you remember, Bovaer, we had indicated potentially comes a little bit on top. But with this 850 max for this year, it would be included and that brings you at about 6.5% of sales. But now if we take the blended legacy DSM, legacy Firmenich numbers, normally, the company should trend a bit lower than that. But we are seeing the timing of things like Bovaer, CanolaPRO and some investments on the legacy Firmenich side as well coming a little bit at the same time. And maybe from a modeling point of view, given the -- in one of those calls, and it's normal for the first time, if you look at your depreciation, amortization modeling, you probably should be thinking here at about €230 million to €240 million per quarter of depreciation, amortization. So that's from a CapEx point of view. And then Pinova, you picked it up correctly. So the impact is very much top line related. Now in Q2, while the fire took place in April, there was, of course, inventory still at hand. So the impact of Pinova in the quarter is not too significant, but is still there. However, you will see it more in the second half. Now we're probably looking at a top line impact in the second half of €50 million to €60 million in terms of headwind with a more limited impact on the bottom line as Pinova was clearly more dilutive than accretive from a margins point of view.
Nicola Tang: Thanks. And if I could just squeeze in a follow-up on the Pinova point. I think you talked about kind of workaround going forward. So should we think of this €50 million to €60 million in the second half is kind of like lost revenue? Or does it come back at some point?
Geraldine Matchett: For now, my understanding is that it's more lost revenue because the site is closed, et cetera. But I can -- we will bring back some more information depending on how it evolves. Here, the work is really about looking at how to supply the customers using alternative sites at present. And I'm checking with Dimitri here. I believe it's lost revenue.
Dimitri de Vreeze: It is predominantly lost revenue for two cases. I think Geraldine was already alluding to it. It's not very helping our EBITDA quality and the business going forward. And there is opportunities to also produce at other sites. So that's also the reason why we try to close Pinova. But obviously, that has approval procedures to it. So that will take a while before that is coming back. So for this year, I think you can regard it as lost.
Nicola Tang: All right. Very helpful. Thank you.
Dave Huizing: Operator, I think we will -- do you still have people in the waiting line or not?
Operator: There are no further questions at this time.
Dave Huizing: Okay. Then we can conclude. Geraldine, a question from my end. I think you said on the D&A, the figures you mentioned were per half year.
Geraldine Matchett: Oh, you're right. I said per quarter, but it's a mistake. So the half year indeed, that would make more -- no. Now you make me confused. I think it's per quarter. The half year H1 was €470 million. So per quarter, it's about €230 million to €240 million per quarter.
Dave Huizing: Yes, okay. No, that's good. [Indiscernible], yes.
Geraldine Matchett: Yes, maybe with a …
Dave Huizing: [Indiscernible], yes. Okay. Dimitri, a few words from you?
Dimitri de Vreeze: Yes. Thank you. Indeed. Before we end today's call, there are two important things left for me to do. One is obviously to invite Geraldine to take the stage one more final time at this beautiful company to say a few words. And secondly, I would like to introduce to you, Geraldine's successor as CFO of DSM-Firmenich, Ralf Schmeitz. And although you didn't see him, he's been sitting patiently on the call today. So let's move to Ralf first. But at first, to position him a little bit, Geraldine and I have had a great privilege of working very closely with Ralf over many, many, many years. And together, I think we have accomplished a great deal to move the company to the point where we are. And Ralf is really all up and running to enter into his new role as for the 1st September. And obviously, we will all -- wish him all the success in the world, and there is also a bit of a personal wish from me as well because if he is successful, then I think we are all successful going forward. And I know, Ralf, that we have gained a fantastic CFO in you as per the 1st of September, and maybe you just want to come on screen and say a few words.
Ralf Schmeitz: Well, hello, everyone, and happy to be introduced this first time on screen. Like Dimitri has said, in the background for many years, obviously, in my previous role at the company as Group Controller first for DSM and later for the combined company that we represent today. Big thank you to Dimitri and Geraldine, of course, for all those years and getting the opportunity. And obviously, also, I want to take the moment to once more wish Geraldine well and all the best for the future going forward. Now to the other audience that I can't see, but I'm keen to meet and work with going forward, our investor community. We will have the opportunity for that later in the year. So we are scheduling some teaching sessions on Perfumery & Beauty and Taste, Texture & Health business later in the year in November in both Geneva and the U.S., and that will be a great moment. And we're scheduling also a roadshow around that. So really look forward to that. And also early '24, we are planning a Capital Markets Day, and I think that's provisionally penciled in for June. So that will give us ample opportunity to get to know each other well as well. But for now, keen to work with Dimitri going forward and the whole executive committee in the company to live up to the potential that this beautiful DSM-Firmenich journey has ahead of us. So really look forward to that. And with that, back to you, Dimitri. Thank you.
Dimitri de Vreeze: Thanks, Ralf. And indeed, that's a nice bridge. Geraldine, the last time, please, floor is yours.
Geraldine Matchett: Thank you, Dimitri. Thank you. Thank you. And yes, basically, I have to say it's a really happy moment for me to have you, Ralf, take over. We've worked 10 years together. And indeed, you don't know on the call, but Ralf was always there and including today. So it's not difficult for me to rotate out because I know the company is going to be in very, very good hands with my two colleagues here on the screen. So that feels great. It also feels great that after 10 years, I can look back with a big smile and I think a lot of great achievements. Of course, the last one is the one that's been taking a lot of our time today, which is the merger and the exciting future of DSM-Firmenich going forward. Now I was lucky that when I joined DSM, I knew a lot of you already. And I want to thank you. I want to thank you for your trust and for the great conversations we've had over the years and the great dialogues. It helped us, by the way, a lot. And I know that this is the culture that will continue, which is full transparency and dialogue going forward. And to the extent possible, not to bring any surprises along the way. So I thank you. And maybe I will see you again. We will see how the future pans out. But I really will not leave without another thank you. And that is to the IR team. I have to say, it's the best IR team I have worked with. And now I'm getting a little bit emotional. I'm sorry about that. And yes, when you work for 10 years so close, and you have the pleasure of working with someone like Dave, with Marc that you know well, with Joanna, with Anna, it makes it a very special journey. So I just wanted to say thank you for that, and sorry for the emotion. Over to you, Dimitri.
Dimitri de Vreeze: Never apologize for your emotion, Geraldine, because that's who you are, and that's where you stand out. I think I echo the appreciation from all of us for what you've done for the company, but also especially for me. You're a unique personality with passion, [indiscernible] and a fantastic warmth and charm blended together. We will miss you during the calls. And I think I'm speaking on behalf of all the investors that we will miss that quite a bit. So Ralf and I had a high standard to live up to. And with that, I think it's time to close the call, unique call because the first call as DSM-Firmenich, but also unique call because of this last call with Geraldine. And with that, thank you. Let's go back to the operator to close the call. Thank you.
Operator: Thank you. And this will conclude today's program. Thank you for your participation. You may disconnect at any time.